Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Aston Martin Lagonda Full Year Results 2020 Conference Call. [Operator Instructions] I must also advise you that this conference is being recorded today. I would now like to hand the conference over to your first speaker today, Tobias Moers, CEO. Please go ahead.
Tobias Moers: Hello. Good morning, and welcome, everybody, to our results conference this morning. To take your question in a few seconds. Let's just to give you a pre overview about all the key messages. Has been really transformational year last year. And we set up our turnaround plan as well as a growth strategy. Everything is baked in our Project Horizon. Probably you saw our presentation and our video about achievements over the course of last year. As well, we delivered our full year results, 2020, in line with our expectations we set out in September/October. We aggressively de-stocked. We have a very aggressive plan to tease our inventory with the dealerships and as well company stock. We almost come to an end, and we are there by end of that quarter. So it's partially ahead of expectation as well. Successfully launched SUV DBX with a quality-led ramp-up. So we wholesaled about 1,500 cars, in line with our expectation after we realigned everything in that quality-led ramp-up approach. Cars, really good received by our customers. Great reviews from journalists, from magazines and as well from customers as well and dealerships as well regarding quality, very important. Next derivative out of the DBX is going to come by third quarter this year, more to come in the second quarter of next year. As well, part of the whole journey and new leadership team, obviously, Ken and myself, but a new COO with us since December, Michael Straughan, and a very, very strong leadership team now in engineering as well for powertrain for vehicle as well for electrical architecture. Successfully launched Project Horizon, but I think you're going to have a lot of questions around that. We came to a new agreement with Mercedes, which is kind of a real turning point for our business for the future. So no doubt, we have access to electrical architecture for the future. We have access to all powertrain derivatives of probably V8 and other brands as well. Electrify powertrain and, last not least, electric drive platforms. Refinancing the business was a very major step for us. [To ease our debt rate] as well. And it's supporting our growth ambition and it's underlined by our turnaround program as well. And really important for us is the Formula One step now. I'm happy to announce that we're going to have the new race car with us by the 3rd of March. So we unveil a new race car. We have a full fledge works team now. And it gives us a different -- totally different view to the brand for everybody in the world. So the brand approach is going to be a different one in future. And now I think happy to take questions. Ken is joining me here as well as our CFO. Happy to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Charles Coldicott from Redburn.
Charles Coldicott: I've got two, please. So the first on the DBX. Obviously, the wholesales were very strong in Q4 again. But if my math is correct, I think there was only 593 units of retail sales in Q4. Was that in line with your expectations? And when should we expect sales to customers to start exceeding 1,000 units per quarter? And also, maybe also, could you update the current size of the order book for the DBX? And then my second question was going to be on Project Horizon, which obviously is going to try to improve the efficiency of the business. Can you help us a little bit quantify the improvement we should expect from that project in 2021 or maybe on a 3-year time frame?
Tobias Moers: Thanks for your questions, very good questions. DBX retail rate last year. Yes, but obviously, we had a -- we slowed down the ramp-up and moved into a quality-led ramp-up. So we had a lot of cars in the shipment to the dealerships. That's probably a bit of reason and that's for certain reasons that we have a lower retail rate than expected previously maybe from the former management. Absolutely. But everything was linked to the quarter 4 and end of quarter 3 with pass to sale from the factory to the kind of transportation to the dealerships. We had a lot of cars on the world, into China and North America as well. So that's the reason for that. It improves. It's different now. And the highest priority is, for us, realign align demand and supply. And we are doing really good at that. So that's one issue. I'm not talking about retail at the moment. So we have a clear expectation for us for the future. And now we perform a lot of test drives with our customers worldwide in China and North America and in Europe. It's a bit of problem in U.K. at the moment regarding the shutdown of the dealerships. But DBX order book is in line with our expectation. I'm really happy with that. Sports cars are even doing better than our expectations. So we have a good situation regarding our order book. And as you probably know, U.K. market is a bit down in January and February. We have an order book for U.K. We have cars with our dealers, but we are now able to -- with our order book, we are able now to pull other markets in our production sequence forward. So we produce these cars a bit earlier, and we push our U.K. orders probably a little bit further down the road. So we now with that order book, we are able to balance our demand and supply to the market basis. That's very important for us. Then Program Horizon. Just to quantify, you saw in the presentation, we talk about 30% of efficiency, and this is a very conservative level. Program Horizon was established by October last year and it is related to almost every corner of the company. Very important, it's related to the efficiency and manufacturing. And really it starts in inbound, it starts in freight, how we got material into the plants, how we treat material, how we handle the whole logistics side. And we're going to see the first outcome, which is a different pattern. It's a different situation. It's a different footprint for our plants as well, which is almost related to rightsize the business to our demand. We have a natural demand on the market. And yes, for sure, we have enough capacity with that. So we have no problem with capacities in our plants. But we rightsize now the business. We come to a new way how we manufacture and assembly the cars. Everything happens in -- by end of the first quarter now, and it's really fast how we turn around that assembly and our production facilities and in the second quarter of this year. So the things comes together, bits and pieces coming together. And it's really across business, the whole company is touched by that.
Operator: Your next question comes from the line of George Galliers from Goldman Sachs.
George Galliers: The first question I had was just on DBX volumes. It looks like they were around 64% of the wholesale mix in 4Q. Is that a good assumption for the mix of DBX in 2021? And if yes, taking your total wholesale target, that would equate to around 3,800 units, which is obviously some way short of the 5,000 to 6,000 that is in the long term 10,000 unit objectives. So I was also wondering whether you plan to bridge the gap. I know you've mentioned variants. But could you clarify, are these variants of models, i.e., long wheel based, AMR, coupe versions? Or could they also be variants of the platform with a different nameplates potentially in a different segment size?
Kenneth. Gregor: George, let me start on the numbers, and then I'll hand to Tobias to talk about product-related plans. It's Ken Gregor. On the DBX wholesales, you're right, Q4 was a big quarter. Partly, you've got the normal pipeline fill of showroom models going through the wholesales in that quarter. So we've guided that we expect total wholesales for the business to be 6,000 units in -- of all our models being 6,000 units in 2021. Maybe DBX would be slightly more than half. But not quite at that same rate as Q4, as you kind of rightly point out. But overall, feeling good about that in terms of the level of orders and the run rate that we see. Perhaps I hand over to Tobias to talk about how we see the variance on DBX and how we think about that.
Tobias Moers: There's one important topic that I'd like to mention in that so called. We are not running wholesale to cover our production capacity. That's one of the most important steps that we took last year. We rightsized our capacity. So we are we're running our manufacturing site in future on the same level of efficiency despite the numbers we produce. This is very, very important to know. So we are not driven by a capacity which is in place for the future. This is what we changed right now with Project Horizon. So the 5,000 to 6,000 was kind of a guidance which was done by the previous management. For sure we're going to get there. Now we're going to have additional derivatives out of the existing DBX. First to come now, and that's an outcome of our technology agreement with Mercedes. The first one is going to come to the marketplace by the third quarter of this year. The second one is going to come to the marketplace by the second quarter of next year as well. So we do increase our portfolio. And there is more to come. There is more to come. If you have a close look on our presentation on Page 17, the DBX provides an excellent platform. It's a bespoke Aston Martin platform. And that makes the difference. Therefore, we have excellent reviews on drivability of the car, driving dynamics, et cetera. So this is a building block, one of the building blocks for the future. For sure more to come, I'm not talking about details, what variants we're going to push out, because we have still competitors outside there in the marketplace. But yes, for sure, we are able to achieve that number over the course of the next 2 to 3 years. Almost the next 3 years.
George Galliers: Great. And if I could just quickly ask about the technology agreement. Could you just confirm, does the technology agreement gives you access to Mercedes EVA platform? And would that be a platform that might interest Aston Martin? And secondly, at the Strategy Day last year, Mercedes said that by mid decade, they expect to be significantly below EUR 100 per kilowatt hour at the system level, including cell module and battery system. Is Aston able to access those cost levels as a result of the agreement?
Tobias Moers: First of all, EVA, that's one platform, but Mercedes has the ownership of more than one platform. EVA is a compact-related platform. I know that platform quite well out of my previous life. But there is more to come, and there are different platforms to come. So we have an access. What we have finally to decide to go with Mercedes by end of next year, beginning of '23. So there is no problem for us. And we are not in a rush to do so. Foremost, we have hybrid technology at Mercedes, which gives us an active range. And for sure, we'd be in discussion with Mercedes about which platform we're going to use. It must be an excellent fit of that platform to our performance luxurious market segment, and this is where we are keener. Regarding the battery price, this is a forecast, I know that. Better pricing, I don't want to do any comments on that. But for sure, the overall trend on battery, so kilowatt hours per euro -- or euro per kilowatt hours is moving down. We see that everywhere. Is it probably the 100? Is it probably 110? I don't know. I don't know. But everything, what we got from Mercedes is a very, very reasonable cost situation for us. And I'm sure -- I'm really sure that we are going to achieve a reasonable cost situation for our electric platform. For sure, related to our segment and the demand on our electric platform for Performance Luxurious business is probably different than for EQA platform. So this is what we have to consider. But we are not signing through that journey.
Operator: Your next question comes from the line of Angus Tweedie from Citigroup.
Angus Tweedie: Two questions for me. Firstly, for Ken, you talked a bit about cash burn being down in 2021. Can you give us a few more comments on how you're thinking about working capital and perhaps if cash flow could be positive if we strip out the moves on deposits this year on Specials? And then secondly, Tobias, just thinking about the electrification strategy, perhaps could you discuss any thoughts you might have and how concerned you are that we could see potentially higher taxation of high polluting ICE vehicles as part of the upcoming U.K. budget?
Kenneth. Gregor: Yes. Angus, on cash flow for 2021, as I think I said before at the time of the refinancing, I do expect it to be overall negative, likely a triple-digit number, negative across the full year. I would hope to see, and we're targeting to see some positive movement from working capital in the full year, building on the positive movements in working capital that we already saw in Q4 of 2020, which was also good to see. And relating to the customer deposits, I think there'll be ins and outflows. So I don't know if you're quite right on what you said on that point.
Angus Tweedie: Okay. So not to expect a massive move, negatively or positively, in deposits for the year is a fair assumption?
Kenneth. Gregor: Overall net, no.
Tobias Moers: So coming to the point of electrification, yes, it's part of our journey, absolutely. So we're going to have a plug-in hybrid with us, which is part of the Mercedes technology transfer. With a reasonable range, electric drive range, a [meta] engine program, which is one of our buildings blocks for the future. These cars are supposed to be -- they have to have an electric drivetrain as well or electrified drivetrain, excuse me, electrified drivetrain in that sports car segment. That's part of the mid-engined business in the future. And ultimately, we're going to have an electric drive with us. So we are under consideration where we're going to have that. And you saw our ambition 2030, 90% of our portfolio has to be electrified [indiscernible]. And I know it quite well that in our segment, it is moving faster than in other segments. And yes, for sure, we see carbon dioxygen related consumption related taxes all over our regions. I know that, and we know that. So it's up to us to move forward. We are not able to change the future, we have to adjust us to that future.
Operator: Your next question comes from the line of Mr. Horst Schneider calling from Bank of America.
Horst Schneider: Yes. It's Horst Schneider from Bank of America. I have got a few questions, please. First on housekeeping items. Can you maybe give some guidance on R&D, CapEx, but also regarding your earnings bridge maybe on the mix price bucket, if you have got any visibility on that. Then in your presentation, you also mentioned the better order intake of GT and sports cars. Could you maybe provide some more details on that? And then the last question that I have relates to DBX. Can you maybe tell us in which region you see the best demand? Which regions are underperforming a little bit your expectations. And in general, if I want to order a DBX today, what are the waiting times that I should expect?
Kenneth. Gregor: Maybe I'll start -- thanks, Horst. Maybe I'll start with the R&D and Capex, where we previously said that we expected R&D and CapEx to be between GBP 250 million and GBP 300 million each year for our business plan period. We're guiding today that we expect it to be between GBP 250 million and GBP 275 million for 2021. So it's very much in line with what we said before. I think on mix and price for 2021, we're looking to build on what we saw through 2020, which -- where we saw some improvement overall in the average selling price and the mix in Q4, really driven by a combination of factors, driven by delivery of Specials in Q4, delivery of DBX in Q4 and sequential reduction in dealer and retail incentives. And all those themes are themes that we are looking to build on in 2021. at which point, I'll hand over to Tobias to talk about order intake in DBX.
Tobias Moers: Order intake in our sports cars is -- coming to the sports car portfolio, it turns out that it's better than we thought. It's ahead of expectation what we saw last year. So we have a good situation regarding order intake of sports cars. We have an additional variant with us Vantage Roadster. We're going to have another more performance-oriented variance with us coming soon. Are we going to present that next week or the week after to our customers and clients. And then DBX is in line, absolutely in line with expectation. And as you know, probably the market slowed down in January and February. And now we have a good -- in U.K., especially in U.K. because dealerships have very restrictive situations at the moment. But with our order book, we are able to maneuver around that. And we're making sure that we can rearrange our production sequence, because we have strong order books for sports cars and for DBX. And that's really a good situation for us. The lead time, if you're going to order one, maybe let me know and I'll make sure that you're going to get the car a bit earlier. And DBX region, China is doing really good. It's really doing good. It is in line expectation because China is obviously heavily DBX-loaded. That's not a secret. Europe is doing better than we thought. So we have a bit of downside. As you know, market down January 50% for our segment. 35% in February so far in U.K. Europe is covering that at the moment, which is really great. North America is doing good and well. So we're happy with that what happened at the moment. Really happy.
Horst Schneider: Just a quick follow-up on that, on this GT and sports cars. I mean you said initially that you expect more than 50% share of DBX in 2021. What is the split then between GT and sports car that we should expect in 2021?
Tobias Moers: GT and sports cars, sports car is in our definition a bit of Vantage. So Vantage is still a very important share in that. But DB11, for example, is doing good. And DBS is doing good. So it's a good mix, profitable mix for us.
Operator: Your next question comes from the line of Henning Cosman calling from HSBC.
Henning Cosman: Maybe going back to the operational excellence and the 30% savings. I don't know if I missed it, but could you give us the basis for that? Did you suggest all of variable and fixed cost? And if you could give us a euro number for that. And again, I think Tobias said in the prepared remarks in the video that you're well on track in 2021. If you could give us some sort of quantum on that as well. And finally, just on that point, I think you sort of mentioned that affects all corners of the company. So I would -- I would expect, in that sense, also the R&D within the CapEx and R&D guidance, notwithstanding it's a capitalized R&D year. But wouldn't that imply that the CapEx within that GBP 200 million to GBP 300 million guidance over the period that the CapEx would sort of increase as the R&D decreases as we generate efficiencies there? So that's the sort of first block of questions. And then if you allow me, as a second part, just on the cash again. I think Ken said in the prepared remarks to reduce the cash burn. I was wondering if there's any quantum on that at all. If you could sort of help us with an order of magnitude. And if there's any cash out for restructuring included in that as well in your mind, as you talk about rightsizing of the capacity and what your plans might be for the magnitude of a rightsizing in 2021.
Horst Schneider: Maybe going back to the operational excellence and the 30% savings. I don't know if I missed it, but could you give us the basis for that? Did you suggest all of variable and fixed cost? And if you could give us a euro number for that. And again, I think Tobias said in the prepared remarks in the video that you're well on track in 2021. If you could give us some sort of quantum on that as well. And finally, just on that point, I think you sort of mentioned that affects all corners of the company. So I would -- I would expect, in that sense, also the R&D within the CapEx and R&D guidance, notwithstanding it's a capitalized R&D year. But wouldn't that imply that the CapEx within that GBP 200 million to GBP 300 million guidance over the period that the CapEx would sort of increase as the R&D decreases as we generate efficiencies there? So that's the sort of first block of questions. And then if you allow me, as a second part, just on the cash again. I think Ken said in the prepared remarks to reduce the cash burn. I was wondering if there's any quantum on that at all. If you could sort of help us with an order of magnitude. And if there's any cash out for restructuring included in that as well in your mind, as you talk about rightsizing of the capacity and what your plans might be for the magnitude of a rightsizing in 2021.
Kenneth. Gregor: Thanks, Henning. Let me see if I can start and cover as many of the questions as you talked about. In terms of the cash burn for 2021, I don't expect it to be negative, but I do expect it to be substantially lower than the cash outflow that we had in 2020. Still a triple-digit number, but significantly, significantly lower. In terms of the restructuring costs within that, there's a modest amount within that, but not huge in terms of the restructuring cash that we expect. And so that's kind of covered within that. In terms of the efficiencies as you asked about, yes, in the presentation, we talk about 30%. We're talking -- the restructuring program is across all areas of the business. We're thinking very significantly about material cost, variable labor, freight, inbound freight, outbound freight, all the variable areas of our cost base when we think about a number like that. We're not providing apparent millions guidance on that number. But what I would say is it's a very significant contributor to our delivery of our guidance that we're providing in 2021, to go from our negative EBITDA that we had in 2020 to mid-teens EBITDA for 2021, and then building on that through to our medium-term guidance of GBP 0.5 billion of EBITDA by 2024. So it builds through time, is what I'm saying. I may have missed one of your questions there, sorry, so.
Henning Cosman: No, that's okay. The 2 blocks were just around the magnitude of the 30% and the magnitude of the cash burn. So I think I got it.
Operator: [Operator Instructions] Your next question comes from the line of José Asumendi calling from JPMorgan.
José Asumendi: It's Jose from JPMorgan. A couple of items. Ken, can you speak a little bit about, coming back to cash flow, and this balance between CapEx and D&A? Can you help us understand a bit how do you see D&A on the cash side is going to evolve in 2021? And do you foresee maybe to be a bit more balanced or still be a cash outflow versus CapEx? Second, Tobias, can you speak a little bit around maybe the short-term cost-cutting actions you have implemented since you arrived at the firm? And also, when you look at the business and you're trying to -- and you're looking obviously to square capacity with deliveries to dealers, is there additional need to potentially additional asset write-downs on the facilities? Or is this something that you're not considering in the medium term as you try to obviously bring this company to generate cash?
Kenneth. Gregor: On the last point, no, we are not anticipating any further write-downs or impairments of facilities. No on that point. On the CapEx in R&D, we provided guidance that we expect CapEx in R&D this year will be GBP 250 million to GBP 275 million. We provided guidance that we expect depreciation and amortization to be in the range GBP 240 million to GBP 250 million. So yes, I would continue to expect the CapEx to be -- to rather ahead of the depreciation and amortization, that's kind of normal. And so that you get what you referred to, which is a small net negative in the cash flow from the combination of those items.
Tobias Moers: Coming to cost-cutting and facilities as well, yes, for sure, the very first moment we changed the business, we started to change the business in September, October, we saw first outcomes. The guidance for bringing programs or derivatives of DBX to life, what the company thought and what we achieved is really -- it's really significantly different at the moment. So we are able to bring a derivative life with much lower CapEx investments than the company thought before because we have a different -- we have a different leadership team now in place. So we know exactly to whom to talk, how we talk and how we move forward with engineering. So engineering runs now a commodity approach. Everything is more strategically linked. So we're not talking about bits and pieces for one car line. We always talk on a strategic perspective, and this gives us really, really good improvement. That's one side of the business. The other side of the business is cost. Yes, cost-cutting is it's an efficiency program across the whole operations and to make sure that the whole operation maneuvers and act on an efficient basis despite if you produce 50 cars a day, 20 cars or 25 cars a day, it should be always the same efficiency. And the company has not been in that situation because it was everything a little bit too much regarding the facilities. We now apply a different footprint for plants. So we consolidate single items in the plant. We come to a much more flexible and agile approach how to assemble, how to manufacture cars. And these things are coming to life now. And consider, we started that journey in October and it is unbelievable how we transformed as well the culture and the mindset of the people with us in the business. And the team is fully activated. And it's even -- it's interesting, if I consider how many people we had in the rework area when I came in, to rework all the cars, to make them ready to ship, where we are now, that's an unbelievable journey. And I never saw a journey that fast-moving forward. And this is all over the business regarding operations, coming from inbound freight, how we do the logistics internally. It is almost everywhere. It is everywhere. The company thought they have a bespoke plant to build Valkyrie. There was no need to. So we never used it. There's nothing what we have to write off on the other side because we can use it for engineering for the future. But we -- and -- but if you do that, you have additional headcount, you have additional overhead, you have additional fixed costs. We just decided to move it to Gaydon, to the main factory and it's now here. We moved it within 2 weeks from the bespoke factory to Gaydon and now Gaydon is the hotbed of sports cars, including Valkyrie build. And that's really a good engaging situation. So it's a different level. It's a different company in almost 2 to 3 months. And it's very -- really linked to -- it's variable costs and it's fixed cost. It's everywhere. And if you move down hours per vehicle, it's variable cost. If you move down the overhead and quality and on manufacturing engineering and other parties, it's fixed cost. If we shut down a paint line, for example, it's fixed cost. So things like that's going to happen. It's a consolidation of the business.
José Asumendi: That's great. I mean, it sounds like there's a turning point, definitely, on the business, definitely. We -- that way, your previous -- the previous financial year '20 was a year obviously we went through a phase of missing a level of financial targets that we put out there. It's very important to sort of deliver the financial targets you are setting for '21, for '22 and the midterm plan. So from an equity perspective, also, can you comment a bit about -- and I know you have given comments already, but in terms of the unit sales you're trying to hit '21, '22, '23, what is the level of unit sales you feel very comfortable with? Like this company can definitely deliver this number of units and can definitely hit the financial targets. How do you look at that, Tobias, from your point of view?
Tobias Moers: So we have -- we gave a strategic guidance. And this is linked to, it was 10,000 units, GBP 500 million in EBITDA, GBP 2 billion turnover. And we stick to that in line with the strategic guidance. Are we able to deliver it probably earlier? Don't ask me today, okay? Please consider. I'm not able to give you an answer on that. We are doing good. The bits and pieces coming together. But we are careful with our projection for the future. We don't want to under deliver as a new management team, as a new company. So I'm careful with that. I stick with our preview and forecast.
Operator: Your next question comes from the line of Angus Tweedie from Citigroup.
Angus Tweedie: It's Angus again. Just a follow-up. I wonder if you could talk a little bit about how the Aston Martin Valkyrie launch is going, whether you've had any further difficulties with lockdowns and things there? And perhaps just a little bit more detail about how you're thinking about the mid-engined sports car launching in kind of 2023 time?
Tobias Moers: Valkyrie, that's a very reasonable question. I have a few of many experiences now in the meantime with hypercars and hypercars are complicated. In my past life, I had a complicated hypercar. Now I have another complicated hypercar. And the Valkyrie is even a bit more complicated regarding the vehicle approach. But it is still a challenge. I'm really honest. It's still a challenge. But we had breakthroughs and we made it. We're doing good progress. The drivability is at the point by Friday. So we are doing good progress with that Valkyrie. We changed a lot, for sure, with the new engineering team, which has reasonably changed very much approach how we run the testing. But I'm very confident that we're going to get back here to the finish line by the second half of this year. I'm really, really confident. I drove it now many times together with the engineering team. And it's -- honestly, it's not a car. It's I don't know what. It's more a fighter jet plane regarding the complication of the car. But it's really -- it's unbelievable, the drivability is great. It drives like a hypercar. And I'm happy with that. And we're going to have, and we talk at the minute, we talk about expansion of the portfolio regarding Valkyrie, which is really helpful for our future. And there is another market demand for additional derivative. So more to come.
Operator: Your next question comes from the line of Charles Coldicott from Redburn.
Charles Coldicott: I just had a follow-up as well on the Valhalla, actually. I think that's going to be a major factor in you reaching cash flow breakeven in 2023. Can you just confirm, is the plan still to produce 500 units of the Coupe? Maybe also could you comment on the deposits you've already taken on that vehicle, so that how many millions of pounds on the balance sheet already for that? And is the plan still for the Valhalla to have a hybrid V6? Or is there an alternative in mind coming from Mercedes?
Tobias Moers: Okay. What we do at the moment is we started the reassessment of Valhalla. We're not going to talk about details now for a down payment, and we're not going to talk about details regarding the numbers because we do a reassessment of that Valhalla lineup. There is going to be a Valhalla. We're going to have the Valhalla with us in the second half of '23, and it's going to be an amazing car, with breathtaking technology. But please accept, I don't want to give this information now because we have to talk with our customers first. So Valhalla at the minute, got a redesign. We do -- and for sure, it's probably it's a bit a different drivetrain than the company thought before. Because with the transformational technology agreement with Mercedes, there are other chances for us with regarding combustion engine. But we still have an electrified powertrain. We still have kind of a hybrid style. We still have really breathtaking technology. But we have to talk with our clients first. And we have to show the new Valhalla, so to speak, to our customers. And we're going to do that over the course of the next 3 to 4 months.
Kenneth. Gregor: On the deposit balance. On the deposit, we don't provide a split of the deposit balance between vehicles. The deposit balance at the end of the year was GBP 269 million, and there was a chunk of deposits in there relating to Valhalla.
Operator: Your final question comes from the line of Horst Schneider calling from Bank of America.
Horst Schneider: Yes. I have also one that relates to your electrification plan. I put the part on the mid-engined. And since you say that you have got -- you electrify all 2024 product launches, I just want to understand, again, when you're going to launch the first DBX SUV and the DB12, will that also be already offered electrified? And the last question is when you're going to launch your first BEV?
Tobias Moers: Okay. PHEV DBX platform before '24. Yes, that's being -- we have to run the adaptation, the adoption of all the Mercedes technology transfers. That needs time, and we are faster than everything I did before in my life, but it needs always time. So by '23, we're going to have that with us. Electric drive, not able to talk openly about that situation at the moment. But it is part of our journey, and it's part of our business plan forward and our product plan for the future. But we should achieve something in -- by middle of the century kind of. That's a bit the ballpark. And I think at that time, that period of time, it's crucial. But never rest. So we are on an engineering journey. We reestablished engineering in that company on a different level. So we talk with a lot of possibilities, and we have a lot of things in mind. So we have to finally do that. We have to finally line it up. Well, we have a clear ambition for 2030, as you saw in our presentation. 90% of the whole powertrain is electrified. We still have probably pure combustion engine for track toys, so to speak. A mid-engined program, that has to be electrified. There is no other way out for the future. So I think it's a very ambitious planning. And -- but I know quite well, our segment is moving faster than probably a C segment or a B segment. That segment move faster into the terms of -- into the cause of electrification, pure electrified cars or electric-driven cars. So there's a lot of things to do for us, but we are on it.
Horst Schneider: But if I get you right, then the DB11 successor will not yet be electrified initially. That's going to follow later, right?
Tobias Moers: When we talk about the sports cars, what we have to do, the DB11, the Vantage and the DBS, they are now on the marketplace since a few years. So we need a refresh for these cars. This is what we are doing currently. Do we have a chance to electrify them? This is something what we investigate at the moment. I'm not sure about that because it's a transaction layout. It's a very specific sports car layout. It's not that easy. I did -- I tried to achieve that in my previous life as well, electrified transaction, that's really complicated. That's a technical detail. But then we come to the next generation. When we come ultimate to the next generation, yes, for sure, it should be an electric-driven car. Absolutely. So we're going to have a face lift by the beginning of -- end of '22, beginning of '23 for these cars. And we still have the same platform with us. Talking about electrification, I'm not happy that we don't have any electrification with us. So we're working on that. Did we have a breakthrough? No, we're working on that. But the next generation, there's no way out, should be a best. Absolutely. And this is what we consider.
Operator: There are no further questions, so I'll hand the call back over to the speakers.
Kenneth. Gregor: Just to say thank you so much for joining us today. Really appreciate your time. Any final words from you, Tobias?
Tobias Moers: Maybe as a summary. What we did over the last 4 to 6 months is a lot of work. We established our program, and that program delivers us results over the year of '21. And we are focused on the full year result. That's very important to say. We are really focused on the full year results, because everything going to -- the whole improvement, what we're going to see in our efficiency program, they come together -- it's kind of -- as you know, it's always a glide path to achieve the whole level of efficiency. We are ahead of target, absolutely. We're ahead of target in product definition. We are ahead of target with all the efficiency programs. But it's always a glide path. So we are focused on the full year result. And we are more than confident that we achieve everything what is on our plate, especially the forecast for '24 and '25. And I'm really -- and that's a conservative forecast. So thank you very much for joining us this morning, and have a great day.